Operator: Good day, ladies and gentlemen, and welcome to the Gladstone Capital Corporation Fourth Quarter and Year Ended September 30, 2016 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference, Mr. David Gladstone. You may begin sir.
David Gladstone: All right thank you Kevin and hello everyone. This is David Gladstone, Chairman and this is the fourth quarter and fiscal year end quarter conference call for all the shareholders and some analysts for Gladstone Capital. Our common stock is traded under the symbol GLAD and the preferred stock is traded under GLAD with an O after it. Thank you all for calling in. We’re always happy to talk with our shareholders and the analysts and welcome the opportunity to provide an update on our company and the investment portfolio. As always, an invitation is open to visit us here in the offices in McLean, Virginia, we’re just outside Washington D.C. So combined say hello if you are in the area. We have a growing team here about 60 people in this office with little under $2 billion in assets under management. So now we’re hear from our General Counsel and Secretary, Michael LiCalsi; he’s also the President of Gladstone Administration, which is the administrator to all of the Gladstone funds and some related companies and he’ll make a statement with regards to forward looking statements. Michael?
Michael LiCalsi: Good morning everyone. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934, including statements with regard to the Company’s future performance. These forward-looking statements inherently involve certain risks and uncertainties and other factors even though they are based on our current plans which we believe to be reasonable and many of these forward looking statements can be identified by the use of words such as anticipate, believe, expect, intent, should, will, may and similar expressions. And there are many factors that may cause our actual results to be materially different from any future results that are expressed or implied by these forward-looking statements including those listed under the caption risk factors in our Form 10-K filing and a registration statement as we file with the SEC all can be found on our website www.gladstonecapital.com or the SEC’s website www.sec.gov. And the company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise except as required by law. And please also note that past performance or market information is not a guarantee of any future results. And we ask that you visit our website and sign up for our email notification service. You can also find us on Facebook, keyword The Gladstone Companies and follow us on Twitter at Gladstone Comps. You can read our earnings press release issued yesterday in our Form 10-K for our fiscal year ended September 30, 2016, also filed yesterday with the SEC. You can access both of those on our website gladstonecapital.com and the SEC’s website, sec.gov. An audio presentation of this call will also be archived on our website. And now we will begin by hearing from Gladstone Capital’s President, Bob Marcotte.
Bob Marcotte: Thank you, Michael. Before diving into the results for the quarter, I’d like to provide a remainder of Gladstone Capital’s core investment strategy as the lending fund within the Gladstone Company’s family of publicly traded funds. We provide predominately senior secured cash flow based loans to privately held U.S. based lower middle market businesses with the focus on growth-oriented or recession resistant businesses which have revenue visibility and cash flow profile to support a leveraged capital structure. Our target asset mix is – for loans represent approximately 90% of our portfolio with equity co-investments representing the balance. Approximately 86% of our loans carried floating rates tied to LIBOR and, given our floating-rate assets that are currently more than four times our floating-rate bank borrowings, our net investment income should generally rise with interest rates. With that introduction, let’s get into the results for last quarter. While the M&A deal volumes last quarter were soft, the inflow of funds into the broader leverage loan market supported a surge of new institutional loan issuance as well as improved secondary prices on our syndicated investments, compared to the prior quarter. As some of you may recall, we entered the quarter with a backlog of attracted middle market opportunities. However, our closed rate on the quarter was below our expectations due to a combination of competitive conditions or deals not closing due to adverse financial performance or regulatory events. Despite these conditions for the quarter ended September 30, we closed three new investments totalling $19.5 million. However, net principal repayments including two proprietary loan exists, we experienced a small net portfolio repayment of $3 million. Moving into the current quarter, we continue to see a healthy flow of attractive, actionable opportunities and are optimistic that we will see a tick-up in originations as December is traditionally a strong quarter for deal closings. Consistent with these comments, last week we closed a new $5.2 million proprietary secured second lien and equity co-investment, with a private equity sponsor that is new to Glad. On the portfolio overview and performance, the weighted average yield on our loan portfolio was up slightly last quarter to 11%, as we have been successful maintaining our new origination yields, while also maintaining our first lien secured investments above 60% of the fair value of a portfolio as of the end of the quarter. Second lien investments represent the balance of our loans and in total, secured debts represent 93% of the portfolio at fair value at the end of the quarter. For the quarter ended September 30, we experienced a net realized and unrealized depreciation on the portfolio of $15.8 million or approximately $0.68 a share. The bulk of this appreciation or approximately $15 million was associated with the recently closed – recently announced closing of the sale of RBC acquisition. The $37 million of net cash proceeds associated with this exit – this legacy investment are expected to support a full recovery of all of our secured debt investments, including contingent interest income of approximately $1.1 million in the current period, as well a portion of our equity investment in the company. This RBC sale represents a huge win for the team who managed the restructuring of the business, brought in a third-party capital and experienced leadership in support of the strategic sale of the business. The balance of the portfolio valuation movement was also net positive as we experienced in several legacy credits and several syndicated loan positions. However, these gains were partially offset by depreciation including one of our energy investments. During the quarter, we exited two proprietary credits and generated a $1.8 million of gains on these small $1.2 million equity co-investments. Included in the successful exits was one of our energy credits which contributed to reducing our energy exposure by 29% to under 10% of the portfolio at fair value. During the quarter, we completed the foreclosure and restructuring of Precision, which is one of our last legacy credits from the pre-recession period and, with the assistance of new management, are in the process of liquidating certain assets – excess assets – and are optimistic as to our recovery prospects. At the end of the quarter, we had two investments on non-accrual which totaled $6.5 million or 2.3% of the portfolio at fair value, and include Vertalis [ph], a large syndicated credit, which completed their prepackaged restructuring after the end of the quarter. We currently have 45 companies in the portfolio, which is up one from the prior quarter. Our portfolio remains highly diversify by industry classification with 20 different industries headquartered in 20 different states. With respect to the portfolio yield and income, for the September quarter, total interest income was up 10.4%, compared to the prior quarter on a 7.8% increase in average interest-earning assets and the improved weighted average yield. Other income consisting mostly of success fees received dropped by $900,000 over the prior quarter to a more normal $600,000, or approximately 6.5% of the total investment income. The net impact of the higher interest and lower fees was net – total investment income on the quarter was unchanged at $9.8 million. Fees and expenses were largely unchanged for the prior period inclusive of a small incentive fee waiver by the advisor, thus GLAD generated net interest income of $4.9 million. With respect to the investment climate outlook and opportunities going forward, based on my market comments of earlier and our current pipeline of deal opportunities, we believe we are well-positioned to continue to achieve measured asset growth. In the near term, the magnitude of the reinvestment of the recent reliable proceeds will be a challenge. However, we remain confident that we are very well positioned to grow our assets and have ample borrowing capacity to support this growth to drive our net investment income and support shareholder distributions. In addition to growing our earning assets, the team has remained committed to proactive management of our portfolio with a goal to maintain our net asset value and demonstrate a consistent return on equity commensurate with our predominantly senior secured investment portfolio. And now I’d like to turn the call over to Nicole Schaltenbrand, our Chief Financial Officer who will provide an update on the Fund’s fourth fiscal quarter financial results.
Nicole Schaltenbrand: Thank you Bob and good morning. Let’s start by reviewing the income statement. For the September quarter, total interest income was $9.1 million, which is up by 10.4% or $800,000, compared to the prior quarter. This is driven primarily by the increase in average interest earning assets and a slight increase in our weighted average yield. Other income consisting mostly of success fees or dividends received, declined quarter-over-quarter from $1.6 million to $600,000. Interest expenses on the quarter increased slightly. However, total net interest income on the quarter increased by $700,000 to $7 million. Non-financing costs decreased by $200,000, compared to the prior quarter to $700,000 due to a decrease in professional and other general and administrative expenses incurred. Net management fees on the quarter were unchanged at $2 million, as the higher asset level was offset by a slight increase in the advisor fee credit. For the quarter ended September 30, 2016 net investment income was $4.9 million, or $0.21 per share and covered 100% of shareholder distributions. As we have demonstrated over the last several years and in the most recent couple of quarters, our advisor remains committed to crediting its fees so that annual net investment income covers our shareholder distributions. Moving over to Gladstone Capital’s balance sheet. As of September 30, 2016, we had approximately $337 million in total assets, consisting of $322 million in investments at fair value and $15 million in cash and other assets. Liabilities totaled approximately $136 million and consisted primarily of $71 million in borrowings on our line of credit and $61 million in our series 2021 term preferred stock. Our net asset value increased by $0.67 per share quarter-over-quarter primarily due to the appreciation on RBC that Bob covered earlier. We realized a small net loss of $2.6 million during quarter driven primarily by the restructuring of Precision. However, the unrealized depreciation on the quarter totaled $18.4 million, the bulk of which was driven by the proceeds received associated with the sale of RBC subsequent to quarter end. Also subsequent to September 30, we closed on a common stock offering of 2.2 million shares for gross proceeds of $17.3 million, inclusive of the overallotment. This offering was priced at $7.98 per share or a 1.5% discount to the midpoint of the estimated NAV per share range of $8.10 at the time of the offering. Based on the subsequent closing of the RBC sale and realized proceeds, the final NAV valuation as of September 30 was $8.62 per share, an increase compared to $7.95 per share as of June 30, 2016. The September 30, 2016 NAV per share pro forma for the aforementioned common issuance is approximately $8.54 per share. Based on the uncertainty of the liquidity events at the time, potential capital market disruptions from political events and the continued flow of accretive investment opportunities, we felt the small issuance, even though below NAV, was in the best interest of the Fund and its shareholders. Inclusive of all of the liquidity events that occurred subsequent to September 30, we are well-positioned going into our fiscal 2017 to grow our investment portfolio and net investment income with a current asset coverage ratio in excess of 360% and about $125 million in aggregate cash and availability on our $170 million credit facility to fund additional new investment. And now David will conclude the presentation.
David Gladstone: Okay, Nicole, Bob, Michael, all of you did a great job in informing our shareholders and analysts that are following the Company. In summary, Gladstone Capital had another great quarter. The team made three new investments for $19.5 million. We continue to manage the portfolio well and move some of those that were not going very well such as RBC. That investment was valued at about $22 million in June and then sold the business for about $37 million. That was a good turnaround from that period of time. That was about $15 million increase which is realized in the cash after the close of the quarter. This exit clearly demonstrates that the value of the active portfolio management approach that we have as compared to banks is going to always help you out. We stepped in, made management changes necessary and elected to sell the Company when the right buyer came along. And just to finish up, the Company is in great shape financially to make more loans, grow our asset-base and support our dividend to stockholders. As we look out at the future, we’re mindful of recent economic trends as well as shifting political environment which may impact the economy as well as the businesses we lend to. Here are some of the things that we worry about. First of all, the credit marketplace, obviously, is unsettled. There’s been significant cash inflows into the syndicate loan marketplace now and the private loan funds focused on middle markets, which may lead to a narrowing of spreads and elevated leverage levels to lower middle market companies like the ones that we lend to. The recent election has triggered a rapid in long-term interest rates and it appears to foreshadow an increase in short-term rates by the Federal Reserve. Given most of our loans are variable rate we’re not going to be affected much. However, the cost of these rate increases will be passed on to the underlying businesses who we’ve loans to and so they have to pay us more. We are optimistic that the increase in the federal and state regulations, which have been a burden to so many of these middle-market companies that we lend to may be shifting in a way that will give them strong relief. And as you probably heard, small businesses are very desirous of getting rid of that kind of problem that stands in their way of making money. Despite these economic trends we believe that Gladstone Capital continues to select and make good loans to these growing, recession resistant businesses. As you know, the middle market businesses continue to be an important part of the U.S. economy. They are primary creators of economic growth and job creation. And if the new president wants to create jobs, he really needs to cycle in on these small businesses. Many years ago small businesses were creating 80% of the new jobs, but after all the regulatory environment it’s now more like 60%. We like lending to these mid-sized businesses and have developed a good credit rating system and analysis that is a good predictor of the future operations of these borrowers. So in distributions, Gladstone Capital has remained committed to paying its share holders cash dividends and in October the Directors declared a monthly distribution to our common shareholders of $0.07 per common share per month for October, November and December. We are in very strong position to continue this. Through the date of this call we’ve made 165 sequential monthly or, in the beginning, some quarterly cash distributions to our common shareholders or almost $278 million and have never missed a distribution. That’s about $11.91 per share for shares outstanding as of September 30, 2016. Current distribution rate for our common stock with a common stock price at $8.04 yesterday, the distribution run rate then is producing a yield of 10.5%, which is above the historic norm that most of these yield-oriented alternatives trade at. It’s an incredibly good buy for those who want to buy today especially for your IRA or your retirement plans where the income is shielded from taxes. Our monthly distribution of 6.75% on a preferred stock which translates into $1.69 annually, term preferred stock that we have, closing market price yesterday was $25.39 on NASDAQ under the ticker symbol GLADO is a terrific yield for us such as say stock the coverage ratio is very strong there. In summary, this company seems to be improving every quarter. Improving marketplace that we’re in, we can make interest paying loans and distributions to our stock holders, so we’re in great shape. We have a strong team in place to capitalize on the marketplace. And now if the operator will please come back on and take any questions from the good that are going to call in.
Operator: [Operator Instructions] Our first question comes from Andy Stapp with Hilliard Lyons.
Andy Stapp: Thanks.
David Gladstone: Good morning.
Andy Stapp: Could you talk about the drivers of the unrealized depreciation that Defiance and Francis Drilling realized during the quarter?
David Gladstone: Why don’t you take that?
Bob Marcotte: Sure. Defiance is a company that’s been in our portfolio for some time. It is – was repositioned and moved its facility to improve its competitive profile. But it does serve the Class 8 truck market. In moving their facility and taking on new business, there’s obviously long lead time in putting that business on. As they were trailing off some stronger quarters, the earnings have trailed off a bit, but the pipeline of activity is expected to move up. And they’ve recently won another award in the last couple of weeks. So we expect that to move in the in the other direction, obviously colored by the Class 8 truck market which is a little soft at the moment. So we have no concerns about the credit. It’s a function of the industry position at the moment. With respect to FDF, or Francis, that is a drilling, energy-related, one of our last two remaining energy stock. That’s a business that bottomed over the course of the last couple of months, in the summer months, as the final throes of some of the excess drilling capacity in the southwest was shed. The credit profile is it’s still profitable, but it is only beginning to experience the uptick in volumes and the uptick in margins. It’s not as much the volume in the near-term but the margins in the business that are going to drive the cash flow of that business. In light of the elevated risk position that credit was down again on the quarter, but I think we have – we’re in the process of working through a restructuring of that and we have every expectation that it’s right now trending on the up at the moment.
Andy Stapp: Okay, good.
Bob Marcotte: I hope the question is answered.
Andy Stapp: Yes, nice color there. Yes, would you provide some color on any change in trends of the – in the overall health of your underlying portfolio companies such as revenue, profitability, growth? Just high-level color?
Bob Marcotte: For the most part, we are highly diversified, so obviously you can see we’ve got a pretty broad swath of businesses. Our primary focus is growth-oriented businesses, so I would say right now we’re probably seeing in general slight uptick in growth. Obviously some of the legacy investments in either energy, or manufacturing, are going to be harder pressed to see much increase, but some of the business services we’re still seeing some growth. There is also a significant tendency towards, since most of these businesses are owned by private equity, there are acquisitions. So you typically will see some of these smaller businesses adding acquisitions as a way to grow and scale. That’s probably as active a part of the portfolio as anything else. But overall, think the general trend is up because that’s kind of businesses that we’ve been going after.
Andy Stapp: And that includes their margins are on the upswing as well?
Bob Marcotte: Yes, we don’t have, we don’t publish the details on the underlying portfolio performance, but the uptick in cash – in revenue typically falls to the bottom line on most of our credits.
Andy Stapp: Okay. And is my understanding correct that all your variable-rate investments have interest rate floors?
David Gladstone: They do.
Andy Stapp: Okay, and on a blended basis, how much would interest rates have to rise to pierce the floors?
David Gladstone: The average floor is approximately 1.3% and, given where LIBOR is in the low 50 to 55 points at the moment, you have about an 80 basis point increase before you’d clear the floors. I think if you look at the K, there a pretty good sensitivity there that shows a 100 point increase and then beyond that. The one thing I will note, though, is because of the reliance cash proceeds after the end of the quarter, the amount of floating-rate debt that would be impacted by the increase in rate is down substantially. So if we only have, for example, $20 million in floating rate debt that 80 basis point increase to get to the floors is only about $160,000 for a one-year period. So at the moment, because our floating-rate debt is down so much, the 80 basis points movement is not going to be a material hit to our current earnings.
Andy Stapp: Okay, good. All right thank you.
Bob Marcotte: All right next question please.
Operator: Our next question comes from Christopher Testa with National Securities.
Christopher Testa: Hey good morning guys thanks for taking my questions.
David Gladstone: Good morning Chris.
Christopher Testa: Just wondering if you can give us some color on the exit multiple you got on the RBC acquisition. And also whether the other managers you are talking to are seeking exit opportunities given the LBL multiples in the lower middle market have gotten so high.
Bob Marcotte: RBC was a very specialized asset. I will say it’s very strategic. It was a business that had an underutilized, FDA classified, active pharmaceutical ingredient manufacturing. That is a very unusual business and facility. And, as a result, it was sold to a strategic investor seeking to expand their capabilities in delivering pharmaceutical grade product. So I don’t think there is a relevant market multiple that I can quote you that would be meaningful. It was a strategic buyer who paid based on the strategic value of that facility and the capabilities that it represents in their broader organizational facilities and relationships.
Christopher Testa: Okay, great.
Bob Marcotte: In terms of other exits and multiples, we are seeing some movement towards exits. There’s probably one to two that I would say that I’m aware of that have been in the marketplace that could be coming up in the next quarter or so. Typically it’s not purely a matter of multiple; it’s really where the outlook in growth rate is. As the growth rate in some of the sectors is peaking, you’re seeing folks begin to think about what’s the right move. That was really what was behind the sale last quarter of SPL. That was a services-oriented business in the energy environment. It had really recovered from its low point and the growth rate really was not there so they were able to exit at a reasonably attractive multiple. So I think it’s really the timing of the credit more than anything else, Chris.
Christopher Testa: Got it. That makes sense. And just also touching on just the rebound. Obviously multiples and leverage loan prices. Are you seeing any opportunities to sell down the syndicated loans in favor of more proprietary investments? Or is this something you’d prefer to hold to maturity?
Bob Marcotte: Our syndicated investment portfolio has contracted significantly.
Christopher Testa: Right, okay.
Bob Marcotte: I think – we’re down to a point where it’s relatively small in number and in percentage of the portfolio. In most of the cases there, given our current liquidity, while we have looked at them, for the most part we’re very comfortable with the positions we have or we’re in a position where there is not an active market for it. So I would not expect a significant amount of those to be exited. They are all held to a standard of producing accretive returns to the shareholders. And given our current investment position and capacity, we’re probably less likely to be selling something that’s accretive to the shareholders today.
Christopher Testa: Got it, okay. And just touching on the repayment of Southern Petroleum, obviously your energy exposure went down significantly. What are your thoughts on commodity driven and really cyclical industries going forward? Is there going to be a place for any of these in the portfolio in the future or is this kind of the once bitten twice shy type of mentality?
Bob Marcotte: Well, I think there’s two observations in there. One is, I think as I described in our strategy of recession resistant growth-oriented businesses, I don’t think you can argue in the commodity sector it meets either of those criteria. Most of these commodities do not have a clear path to growth in many instances. I do think in the case of some of the fracking-related producers and industries, you did have some emergence of some growth and some capabilities that have certainly at this point matured given the end market demand. So I would not tend to expect much in the way of commodity on a go-forward basis because they really don’t fit the two primary criteria of growth and visibility. And, frankly most of those commodity-oriented businesses tend to be much larger. You need huge scale, and we’re not a business – we’re not a portfolio that’s going to be able to support the kind of scale operations that commodities need to be globally competitive.
Christopher Testa: Great. That’s all for me. Thanks. I’m sorry, go ahead.
David Gladstone: I would just add to that. The only area that we’ve seen in the oil and gas area is the ones in the Permian Basin. Their lift cost is similar to what you’d see in Saudi Arabia, so they do have strength. And if you watch the companies that are in the Permian, their PEs are going to through the roof and people are jumping onboard. We don’t have anything in that area that we’re looking at to do new, but I would leave that open as one area.
Christopher Testa: Okay, got it. That’s all for me. Thanks for taking my questions.
Bob Marcotte: Next question, please
Operator: Your next question comes from Casey Alexander with Compass Point Research.
Casey Alexander: I’m sorry; I came in late, so if this has already been asked, I apologize. But do you have the percentage of fixed versus floating-rate assets in the portfolio?
Bob Marcotte: Floating rate assets is 84% I think it was in the text I believe, 84% are floating rate assets.
Casey Alexander: Okay, great. Thank you. I appreciate it.
Bob Marcotte: 86%, I apologize.
Casey Alexander: 86%. I got it. Okay, great. Thank you. I appreciate it.
Bob Marcotte: Next question.
Operator: [Operator Instructions] Our next question comes from [indiscernible] with D.A. Davidson.
Unidentified Analyst: Hi, yes, just was curious if you could talk about what you are seeing from a competitive standpoint, pricing on new issuance and whether or not you’re seeing any changes in the terms on new deals that you’re working on.
Bob Marcotte: That’s the tough one, I got to say. I think my opening remarks with respect to our close rate on the quarter being a little bit softer than we expected. Yes, the market is a little more competitive than I think I would have normally expected. We’re very mindful of some of the recently originated and informed private credit funds which have certainly amassed a fairly significant capital. They obviously have large-scale money to put to work I mean those funds are typically $800 million to $1 billion or more. They are not going to come down and do $10 million to $15 million deals, but they certainly will come down undo $30 million to $50 million deals. And we have seen them emerge with price points that frankly I’m not sure how they are going to produce the stipulated returns to their institutional investors. But yes, there anything that’s in the $30 million to $50 million range has gotten more competitive. We’re very mindful of that; that’s not probably our core market, but it’s definitely happening. And those funds will typically – it’s like an 8% type of ballpark spread which is, frankly, under where we would typically play in our sector. We don’t typically see them coming down in our market. If one of our credits was to accumulate and grow and maybe make an acquisition or two, it could come into the sweet spot where those folks would be interested in potentially re-cap. But for the most part, that’s really as our companies mature rather than anything else. So we’ve seen them. We’ve seen one or two go that way. But we’re very cautious in focusing on our smaller end of the market, lower middle market and I think we’re continuing to see decent opportunities despite that.
Unidentified Analyst: Thanks, so I guess you just answered my follow-up question. But you are essentially still seeing enough opportunities in the lower middle market that fit your underwriting parameters and you feel good about the environment to invest going forward?
Bob Marcotte: Yes, look, I think when you go to the lower end of the market, there are always going to be banks that will do ABLs or some form of smaller senior secured. But when you get to a unit tranche and you really look to growth oriented businesses, somebody that can provide a suite of solutions is still going to be a value. And so the smaller middle market is still an attractive place for us. And we just have to be very, very clear on our story and value proposition. We’re still seeing those opportunities today.
David Gladstone: What we’re seeing also is a lot of the sponsors that are out there buying are buying the smaller end of the market and then buying another, or two, or three and a kind of roll up to get it to a size that they can sell to all the excess money that’s at the top end of the middle market. So it’s more of a roll up strategy. We’ve seen some companies by two, three, four little companies and put them together. And we are certainly interested in helping those guys out and that’s been a good part of our business recently.
Unidentified Analyst: Very helpful, thank you
David Gladstone: Next question.
Operator: I’m actually not showing any further questions at this time. I’d like to turn the call back over to David.
David Gladstone: All right. Thank you, very much for all of you calling in. We’re in a great position in this Company. We’ve got plenty of dry powder so we’re out banging on the doors and making investments and you should see some good changes in our portfolio as time goes on. That’s the end of this conference call and thank you all again.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect and have a wonderful day.